Meg Geldens: Welcome to Wolters Kluwer’s 2014 Full Year Results Presentation. Today’s presentation as you know contains forward-looking statements. Actual results may differ materially from what is contemplated in these statements, due to a number of risks and uncertainties that are detailed in our annual reports. I will keep it short and hand to Nancy McKinstry, our CEO.
Nancy McKinstry: Thank you, Meg. Welcome, everyone. Thank you for joining us today to hear about our results for 2014. I will give you a brief summary of the results and then hand it over to Kevin Entricken, our CFO, who will talk about the financial results in more detail. Then I’ll come back and give you an overview of the performance of each of our divisions, talk about our progress against our strategy and then finish up with an outlook for 2015. I’m pleased to say we achieved our guidance for the full year 2014. The adjusted operating margin was 21% in the middle of the guidance range that we gave you. Our adjusted earnings per share increased 3% in constant currencies as guided and our adjusted free cash flow was in fact better than we expected. I’m also pleased that organic growth accelerated last year to 2%. This was supported by our leading high growth businesses which sustained 7% organic growth and now account for 48% of our total revenue. Importantly, our digital products and services together which make up 80% of our total revenues grew 5% organically. While we did benefit from stronger transactional revenues and one time sales in the final months of 2014, we saw genuine improvement in the underlying trends as the year progressed and our business mix improved. Recurring revenues showed a small but incremental improvement in 2014. Looking ahead to 2015, you will see us take further actions against our strategic objective. We indicated today that we planned further restructuring and as part of our regular portfolio review we are now considering strategic alternative for transport services group. We are also returning more cash to shareholders through a share repurchase plan of up to €140 million in addition to our progressive dividend policy. Now, I’d like to briefly update you on the progress against our strategy. Our strategy aims to expand our leading growth positions, invest in solutions that improve our customers’ outcomes and productivity, and to drive efficiencies across the division. In 2014, we continue to invest in our leading high growth businesses and they delivered 7% organic growth. We built on these positions by acquiring the remaining shares in Datacert, thus expanding our leadership position in our corporate legal services group. In faster growing economies such as Brazil, India, and China, we are seeing double-digit organic growth with China growing over 25%. We continue to invest in new and enhanced products, in particular cloud-based product offerings, and mobile applications. And we completed a major restructuring initiative in Tax & Accounting, while expanding our ongoing cost initiatives in our legal and regulatory solutions group. So with those brief remarks, I’d now like to turn it back to Kevin Entricken.
Kevin Entricken: Thank you, Nancy. And welcome everyone. I’m very pleased to be here to present our 2014 financial results. And I’d like to start with our headline figures. Overall, our results were in line with our guidance that we provided at the beginning of the year. Revenues grew by 3% in constant currencies. Organic growth was 2%, an improvement over the growth that we saw in 2013, as Nancy mentioned. Adjusted operating profit was largely in line with the prior year at €768 million. The adjusted operating profit margin of 21% was in line with guidance and reflects the increase in restructuring. Diluted adjusted earnings per share was €1.57, up 3% in constant currencies, also in line with guidance. Adjusted free cash flow increased 3% overall, to €516 million. In constant currencies adjusted free cash flow increased 1%. Finally, our net debt to EBITDA was 2.1 times and our return on invested capital was 8.5%, above our weighted average cost of capital of 8%. Now, I’d like to look at revenues in greater detail beginning with the divisions. Three of our four divisions contributed positively to our organic growth. Tax & accounting and Financial & Compliance Services delivered improved growth over the year. Legal & Regulatory posted underlying revenue decline of 1% similar to 2013. Growth in digital revenues and growth in Corporate Legal Services revenues was offset by declines in the print portfolio. Tax & Accounting delivered 3% organic growth, an improvement over the prior year’s growth of 1%. This was driven by a strong second-half performance and the performance of our software products. Health achieved 5% organic growth reflecting the continued double-digit growth of our clinical solutions business. And financial & compliance services posted 4% organic growth, a significant improvement over the prior year. Financial risk and compliance, and audit risk and compliance, were responsible for these improved results. Now I’d like to take a look at revenues by region. Underlying revenue growth in North America was 3%, up from 2% organic growth in the prior year. All four divisions contributed to this improvement in growth. Revenues in Europe were flat compared to the prior year, where we saw 2% organic decline. Growth in Financial & Compliance services, Health and Tax & Accounting, was offset by print decline in Legal & Regulatory Solutions. Finally, in Asia Pacific and rest of the world, we saw growth of 7% as compared to 5% growth in 2013. Again, Financial & Compliance Services, Health and Tax & Accounting each performed well in this region. Now I’d like to look revenues by media format. When looking at revenues by media format, we see that our digital products are continuing to be the drivers of growth. Digital revenues were over €2.4 billion and grew 6% organically. An improvement over the 5% organic growth than we saw the year before. Digital revenues are growing in every division and in all regions of the world. This includes products such as our clinical solutions drug databases as well as on-premise and cloud-based tax software. Of our total revenues digital formats now account for 68% of total revenues and half of those revenues are software. Underlying services was in line with the prior year. We saw very good growth in corporate legal services. However, this was offset by weaker performance in mortgage related transaction services and other services such as training and consulting. Print revenues declined by 9% and now make up only 20% of total revenues. This includes our book and looseleaf products. Now I’d like to turn to profitability. Our adjusted operating profit was €768 million, largely in line with the prior year. The adjusted operating margin of 21% compared to 21.5% in 2013 reflects the increase in restructuring costs. And I have more to say on restructuring on the next slide. Looking at the divisions, Legal & Regulatory margin declined by 130 basis points, mainly reflecting the increase in restructuring costs, transfers of assets from the Tax & Accounting division, divestments, and underlying wage inflation. Tax & Accounting margin declined by 40 basis points as a result of the increased restructuring in this division as well. The Health margin increased by 150 basis points to 24.1%, and this benefited from operating leverage and the continued shift in growth toward higher margin clinical solution business. Financial & Compliance Services margin declined by 80 basis points, due to lower transactional revenues, restructuring and investments to drive organic growth. Now, few more words on restructuring, in total restructuring costs increased €36 million in 2014 compared to the €15 million we spent in 2013. This was higher than we had originally planned as we implemented additional restructuring programs in the second half of the year, following a deteriorating trend in our Legal & Regulatory Solutions Europe business. Excluding restructuring costs in both years, you would have seen our margin improved slightly. Over 70% of restructuring occurred in our Legal & Regulatory and our Tax & Accounting divisions. And we indicated in our outlook for 2015, we will continue to restructure to drive operational efficiencies where needed. For 2015, we expect restructuring costs to be between €30 million and €35 million. This will mainly be in our Legal & Regulatory Solutions business. Now I’d like to turn and look at the rest of the income statement, starting with our adjusted numbers. Adjusted debt financing costs decline to €113 million. This reflects the benefits of our debt refinancing program last year. The benefit was partially offset by the effects of currency. Our effective tax rate was held flat at 27.6%, despite the increase in profitability in North America. Adjusted net profit after tax was $470 million, up 3% in constant currencies, and similarly diluted adjusted earnings per share improved 3% in constant currencies to €1.57 per share. And now a few words on the IFRS figures. Our reported profit decreased 8% to €569 million. Now I’d like to remind you that in 2013 that included the disposal gain of €47 million related to the sale of Best Case Solutions. Reported net financing results, was an expense of €56 million. This result includes the €76 million revaluation gain on our minority stake in Datacert, which was triggered by our purchase of the remaining 62% of that business in April. It also includes a €5 million pension finance charge, and €14 million net loss on the disposal of an investment available for sale. The reported IFRS tax rate was 7.4%, this rate was driven down by the Datacert revaluation gain, which is not taxable. In addition, the tax rate further benefited from a positive tax impact related to assets disposed in earlier years. Now, let’s turn to cash flow. Adjusted operating cash flow increased 3% to constant currencies to €764 million. Our cash conversion ratio was strong at 100%, as a result of good inflows in the fourth quarter and prudent working capital management. In 2015, we expect our cash conversion ratio we’ve returned to a more normalized level of approximately 95%. The increase in operating cash flow was partially offset by an increase in paid financing costs of €20 million to a total of €135 million for the year. This was as we expected and relates to the additional Eurobond coupon payment in the first-half of the year. Also as expected, we saw €16 million increase in paid income taxes for a total of €119 million for the year. As a result, our adjusted free cash flow improved 1% in constant currencies to €516 million. Now, let’s take a look at the uses of cash flow and the net change in debt. In 2014, we paid €209 million in dividends. Additionally, we paid a small amount of cash outflow related to the exceptional Springboard program. Now going forward, the cash impact of this program will be minimal and we will include it in our adjusted free cash flow results. We spent €189 million on acquisitions during the year, primarily for the remaining shares in Datacert. It also includes smaller acquisitions, including Financial Tools in the United States and Dingxin [ph] in China. We are encouraged by the early results of these acquisitions and they are performing in line with our expectations. Divestiture proceeds primarily relate to the disposal of our Canadian legal publishing assets. As a result there was a net inflow of €91 million, this allowed us to reduce our net bet to just under €1.9 billion. Now a few words on leverage. Our net debt to EBITDA ratio improved to 2.1 times, from two times last year. This is also below our target level of 2.5 times. Please note that our dividend will be paid in cash in May, which will increase our leverage at the half year. And now a look at our debt maturity profile. Here, you will see our net maturity profile as of December 31. This was greatly improved by our refinancing initiatives last year. We issued a new €400 million Eurobond in May, and we renewed our multi-currency credit facility in July. Now, as a reminder, that bond gives us 10-year funding and an attractive interest rate of 2.5%. You will see the benefit of this exercise, as we move forward. Now, turning to dividends and share buybacks. In line with our progressive dividend policy, we are proposing to increase the cash dividend to €0.71, subject to approval at our Annual General Shareholders Meeting in April. This will mark the ninth consecutive year of an increase in our dividend per share. We remain committed to our progressive dividend policy as a way to reward our shareholders. We also remain committed to offsetting the dilution caused by the issuance of performance shares and in line with our anti-dilution policy, we intend to buy back shares worth up to €400 million. Today, we are also announcing a further share buyback of up to €100 million to return cash to our shareholders. This will bring our total buyback program to €140 million. So to summarize, we are very pleased with our results for 2014, and pleased that we have met the guidance provided at the beginning of the year. Organic growth was 2%, following a very strong fourth quarter driven by our high leading growing positions in digital products across all of our divisions. The lower operating profit margin reflects planned and step up in restructuring activities and our free cash flow was €516 million, up 1% in constant currencies. Our net debt to EBITDA ratio was 2.1 times, better than our targeted level of 2.5 times. Now with that, I would like to hand the floor back to Nancy, who will update you on our divisions and progress on our strategy.
Nancy McKinstry: Thanks, Kevin. So as I mentioned at the outset, I’ll give you an overview of each of the divisions, talk about our progress against our strategy, and then finish up with the outlook for 2015. So let’s get started with Legal & Regulatory. Legal & Regulatory revenues increased 4% in constant currencies, organically revenues declined 1% in line with 2013. The adjusted operating margin contracted as we expected largely due to increased restructuring. Corporate Legal Services organic growth was 5%, driven by strong transaction volumes in the fourth quarter. We saw strong renewals from legal representation services supporting CLSs subscription growth. Transaction revenues were particularly strong at Corsearch. CT Lien benefited in the second-half from some one-time law firm projects. As Kevin mentioned, we acquired the remaining shares of Datacert last year, and I’m very pleased to see the integration of Datacert and time metrics is progressing well, both businesses which now go-to-market under the name enterprise legal management solutions saw strong revenue growth in 2014. Legal and regulatory solutions declined 3% organically. The improvement we saw in the first-half of 2014 reversed in the second-half digital revenues, which now account for 46% of the units revenues grew 3%, while print products saw continued decline. Importantly, our legal software solutions grew 16%. We expanded our restructuring program focusing on editorial and production processes and technology optimization. Now turning to tax and accounting. The tax and accounting revenues declined 1% at constant currencies. This was due to the net transfer of assets into the legal and regulatory divisions. Organic growth improved to 3% with software growing at 5% and publishing and bank products partially offsetting this result. The adjusted operating margin declined 40 basis points as a result of the increase in restructuring costs. In North America, software revenues grew 5% organically, benefiting from some favorable timing effects, but nevertheless good growth from both our On-Premise applications as well as our new cloud-based solutions CCH Access. Our U.S. publishing business saw print decline, but we launched new enhancements to our digital research tools, which showed - which were well received by the market. In Europe, we also performed well in most countries, and overall, we saw an improved organic growth rate. We are investing in cloud-based and collaborative solutions in Europe and, in fact, we introduced Twinfield into the German market. Asia Pacific and Rest of World also improved its organic growth. Growth in our software products was partially offset by decline in print subscriptions and books. Among our faster growing software businesses is Prosoft in Brazil, which grew at a double-digit rate. Turning now to health. Health delivered 5% organic growth, driven by clinical solutions, which now account for 45% of the division’s revenues. The adjusted operating margin improved significantly benefiting from operating leverage in the ongoing mix shift towards clinical solutions. Clinical solutions achieved double-digit organic growth with strong performance across most product areas and in all regions of the world. Clinical solutions has now seen five years of double-digit organic growth and revenue outside the United States now accounts for about 20% of that unit’s performance. Medical Research, Professional & Education which are now combined were broadly flat on an organic basis. Digital products which are mainly subscription base grew strongly, but this was offset by continued declines in print journal subscriptions and printed books. We continued to invest in digital content through our Ovid platform and this year we launched new products around our professional and educational titles. Finishing up with Financial & Compliance Services, this division saw strong recovery in 2014, with 4% organic growth following strong software license in professional services sales in the fourth quarter. Our two leading growth units Finance, Risk & Compliance and Audit together achieved organic growth just over 10% compared to 3% in the prior year. Finance, Risk & Compliance achieved double-digit organic growth, as a result of new customer wins for our Enterprise Risk Management and Regulatory Reporting Solutions. Audit delivered robust organic growth largely through our internal audit solution called TeamMate, which won new customer contracts across the globe. The origination business saw top line decline due largely to the downturn in the U.S. mortgage refinancing market, FX transactional decline abated in the fourth quarter, benefiting from a change in retirement rollover regulations. Finally our European transport services units saw revenue decline with trends improving towards the end of the year as the shift towards the subscription model is nearly complete. Further restructuring was undertaken to adjust the cost base and we are conducting a review of strategic alternatives for this unit. Adjusted operating margins for the division declined 80 basis points, reflecting the decline in transactional revenues, continued investments in global expansion and additional restructuring. Now, I’d like to update you on the progress we made against our strategy. Our strategy aims to expand our leading growth positions, invest in solutions that improve our customers’ outcome and productivity, and drive efficiencies across the company. Our leading growth businesses achieved 7% organic growth and now account for almost 50% of our total revenues. Second, we are organically investing 8% to 10% of our revenues in innovation and we launched a number of new products in 2014. Third, we are progressing well against our planned restructuring initiatives. So if we take a look at our leading growth positions, the vast majority of our organic product development spend is focused on these leading high growth businesses and I’m pleased to say that we saw excellent performance in organic growth across each of these units. Clinical solutions, finance risk, and compliance and audit, all achieved double digit organic growth in 2014. Tax Software and Corporate Legal Services both achieved 5% organic revenue growth. And as I indicated, these businesses now make up 48% of total revenues and we expect that that percentage will increase in 2015. As I mentioned at the outset, digital products and services revenues grew 5% organically accelerating from 4% in the prior year. As you can see from the bars in the middle organic growth benefited from stronger transactional revenues and one time sales especially in the fourth quarter. But very importantly if you look to the very right there, we saw a slow but steady improvement in the underlying growth rate of our core subscription revenue. Recurring revenues now make up 76% of total revenues. So overall, if you look across these KPIs you see underlying improvement in each one of them. So now turning to our second strategic goal around delivering solutions and insights, I want to just highlight three products that we launched actually a couple of years ago, but are now gaining significant traction in the market and they illustrate the type of innovation that’s going on at Wolters’s core. The first example is from Legal & Regulatory Europe. Many of you may know we launched this product Kleos, a few years ago, and now it is offered in eight countries across Europe. Kleos is the only product available in the market that offers a next generation platform in the cloud supporting both the practice and business of law, and fully compliant with all local regulations. In 2014, we launched two major releases that have improved the product and the customer experience. We are seeing accelerated customer growth and we’re very positive about our prospects for 2015. The second example comes from our Health group. Some of you may remember we launched the UpToDate Anywhere application for our enterprise users in the beginning of 2013. We’ve realized impressive market expansions throughout 2014 as we introduced the UpToDate Anywhere app across the globe. So today this application is now used by clinicians in 174 countries, who view on average more than 26 million clinical topics per months. We’re very pleased with both the global expansion, as well as our customer satisfaction rates which are very high for this application. The last example also comes from Health which is our Lippincott advisor. It’s a clinical decision support system sold to healthcare institutions for nurses and clinicians at the point of care. This product integrates content from UpToDate and other Wolters’ core Health assets to help nurses improve patient education. This past year, we also launched a new mobile app to enable access to the Lippincott advisor from anywhere. We currently have over 700 facilities using this solution. So again these are just three examples of the type of innovation that’s going on and how we’re allocating our capital. Finally, the third pillar is driving efficiencies across the group. In Legal & Regulatory, most of our restructuring initiatives last year related to the automation and outsourcing of editorial work across Europe. In the Tax & Accounting division we outsourced our remaining production facilities and streamlined the editorial processes for both the U.S. and for Asia. Also in 2014, we established software development centers of excellence in both the U.S. and India. In Financial & Compliance Services, the majority of our restructuring focused on our transport services group. So now I’d like to talk about our outlook for 2015. For Legal & Regulatory we expect Corporate Legal Services to see good organic growth, albeit at a more moderate pace in the second-half of 2015. For the division as a whole, we anticipate organic revenue decline and margin contraction due to continued softness in Legal & Regulatory solutions, combined with increased restructuring. At Tax & Accounting, we expect continued organic growth, again driven by software around the world. And margins are expected to improve modestly. In Health, we expect steady revenue performance, again supported by robust growth in clinical solutions globally. Margins are expected to rise despite increased product investments. For finance and compliance services, we expect finance risk, and compliance and audit, to see good growth, although moderating from last year’s double-digit performance. The outlook for originations is mixed with mortgage refinancing volumes expected to remain weak, but new U.S. regulations providing us with product opportunities. So if you then translate this into our financial guidance, what you should expect is our adjusted operating profit margin to improve to be between 21% and 21.5%, this includes restructuring costs of €30 million to €35 million. We expect our free cash flow to be between €500 million and €525 million in constant currency. We expect ROIC to be at or above 8% and we expect our earnings per share in mid-single digits in constant currency. So all-in-all we are well positioned to achieve our 2015 goals and we remain confident in our growth prospects. So with that I’d like - now like to turn it over to Q&A.
Meg Geldens: Perhaps, just quickly, this is a small correction. The total buyback is up to a €140 million, and in case, anyone heard anything, €140 up to, right.
Operator: [Operator Instructions]
Nancy McKinstry: Thank you for correcting it, Meg. Okay. Sami?
Sami Kassab: Thank you, Nancy. It’s Sami at Exane. A few questions to start with, please. Can you confirm that the Q4 organic revenue growth of the group was around 4%, and if so I hadn’t seen that since Q4 2007, so this leads me to ask whether you would expect organic growth at a group level to perhaps accelerate further in 2015 or decelerate on the back of the print decline? I know you’ve divisional outlook but perhaps could you sum up the divisional view in terms of how you see group organic revenue growth developing in 2015?
Nancy McKinstry: Okay.
Sami Kassab: Secondly…
Nancy McKinstry: Yeah, go ahead.
Sami Kassab: You mentioned release a step up in your organic investments. Is that a new guidance compared to the 8% to 10% or is that within the 8% to 10% range you’ve given us 10 years ago and abided by since? And lastly can you quantify the margins of - the operating margins of the transport services division or at least its contribution in terms of group EBIT, and tell us whether it’s - how you include the transport services within your guidance. Is the division included in the margin and free cash flow guidance or do you assume the disposal of it and therefore adjusted for that in the guidance you’ve given us today, please? Thank you.
Nancy McKinstry: Okay. I’ll take the first two and ask Kevin to take the question on transport services. So in terms of growth, in the fourth quarter we had 3% organic growth. Again, we benefited from very good transaction revenues and some one-time sales. So as we look to 2015, as you know, we don’t give revenue guidance. But what I can say is that, we have seen a good genuine improvement in the underlying trends of the business. However, some of the one-time sales that we had in the fourth quarter won’t repeat themselves in 2015. And we still have a cautious view of Europe from a Legal & Regulatory Solutions perspective. So I think that gives you a good balance as to how we see 2015 developing. On the organic investments, the 8% to 10% of revenues is really investments in new and enhanced products. So in addition to that investments that continues, we are also investing more in sales and marketing, particularly in geographic expansion, where we have seen now some quite a good traction around some of our global products. So that additional investments in sales and marketing are of course included in our guidance. And then, Kevin, you want to take that one?
Kevin Entricken: Yes. With transport services - we - transport services is approximately 1% of total group revenue. Now we haven’t disclosed margins on transport services, but it’s small enough that our guidance for the year is based on the company as a whole, but it really wouldn’t move our guidance one way or the other being with a smaller part of the business.
Sami Kassab: We expect to assume that the margins are somewhat higher than the group level?
Kevin Entricken: We haven’t given guidance on the margin on transport services. Look, as I say, it’s a smaller part of the business overall.
Sami Kassab: Thank you.
Nancy McKinstry: Yes, please.
Andrea Beneventi: Thank you, good morning. It’s Andrea Beneventi from Kepler Cheuvreux. Two questions, if I may. The first one is on the positive timing effect that you just mentioned in Tax & Accounting and Financial & Compliance. Could you please give us a sense of the size of this component whether in the double-digit million euros or in the single-digit? And you just said they could - part of them could disappear, is there a possibility that they revert in 2015? The second question is on share buybacks, part of consensus was expecting higher level of share buybacks and you are deleveraging a little bit in 2014. Can you help me to understand what’s the reason for your choice and do you find market multiples bit too high this level, or how do you plan to increase at the base of acquisitions, please?
Nancy McKinstry: Okay. I will take the first one, and ask Kevin to talk about share buyback. So in terms of the fourth quarter performance, right, we had 3% organic growth. Some of that was benefiting from transaction volumes in places like Corporate Legal Services and from some one-time contracts or bigger contracts that we got in the fourth quarter. So if you just specifically look at Tax & Accounting and Financial & Compliance Services to your question; in Financial & Compliance Services as we indicated, we still expect very good growth from Finance, Risk & Compliance and Audit and but at a more moderate pace than what they saw in 2014. And that’s because these are very large multi-year contracts with financial institutions. And so, some of which we won in 2014, obviously, we may not win those again in 2015. But still good growth, just not at the same level - what we saw in the fourth quarter. In Tax & Accounting, we still expect as we indicated strong growth in software businesses around the world and we - some of the transactions again that we saw in the fourth quarter won’t repeat themselves. But again, we still expect good performance from them as well.
Kevin Entricken: As far as our uses of our cash flow, we look the balance at between really three priorities. The first being investments in the business, both organic investments in the smaller bolt-on acquisitions. The second would be paying down debt. And the third is, rewarding our shareholders. We reward our shareholders through our dividend policy or progressive dividend policy. And we do consider share buybacks just strike the right balance. And coming up with the share buyback amount that we’ve announced late to the market, we believe we instruct the right balance that allow us to reward our shareholders, but also allows us to invest in opportunities going forward.
Andrea Beneventi: Very clear. Thank you.
Nancy McKinstry: Yes, Carlos - Claudio, yes, sorry/
Claudio Aspesi: Good morning. Two questions, please. Can you please give us a sense of what’s driving the organic revenue growth, is it pricing environment that ease a bit, is it volume, which is a combination of the two? Second question, in spite of 2% organic growth your previous structuring margin expansion is only 1%. Is that a deliberate choice to invest more in the business that a reflection of how the economic model work at this levels of growth and you need a much profitable growth to see better operating leverage. Can you please help us understand where is the break point in that case? And the third question is you showed us a chart where you have very significant growth rates for sizable part of your portfolio, which obviously then is dragged down by everything else. When will the time come to consider strategic options on a much more - on a much broader scale, given the fact you’ve got - you would have a fantastic growth profile if you’re willing to do away with 30% of your revenues or so?
Nancy McKinstry: Yes, okay. Why don’t I start and then you can chime in on the margin.
Kevin Entricken: Sure.
Nancy McKinstry: So in terms of what’s driving revenue growth, it’s clearly increased penetration for our digital products. So it’s not around pricing, it’s really around adding new customers, cross-selling, and in some cases improved retention rates. It’s also supported by global expansion, so in some cases, as we indicate, we’re sort of just scratching the surface from a global perspective. Good example of that is Clinical Solutions, where now about 20% of their revenues come outside the U.S., but that that still has a lot of potential to continue to grow. So pricing still - our pricing is still very competitive, I would say overall across the market. So it’s not coming from that, it’s really coming from increased up-selling and new customers. On the margin question, I’ll start and then ask Kevin to join is we - I think we’ve talked about in the past that really given the fact that personal cost is one of our largest components in the cost base. We need to get through organic growth levels of 2% plus to start to really get margin expansion of significant size. As you see this after we did delivered 2% organic growth, but what we’ve done is, we showed some underlying margin expansion if you exclude the restructuring. But we’ve decided as we head into 2015 to continue to do some restructuring to the tune of €30 million to €35 million, again largely in Legal & Regulatory. And the second thing is to increase some of the investments we are making in sales and marketing.
Kevin Entricken: I think the only thing I would add to the margin discussion would also be considered some of the disposals we’ve done in the past have been margin diluted to a certain degrees. So that will also impact the margin as well. But as Nancy said, restructuring was stepped up in 2014, and we continue to investing in growth initiatives throughout our businesses.
Nancy McKinstry: And then, in terms of the larger question around portfolio, if you look at the key elements of the group, right, we are now 80% digital, which is a big transformation from where we came as a company. Digital products and services growing 5% organically, and we have our leading high growth businesses, which are almost at the 50% mark growing 7%. So then your question is, what about the rest of it? The challenge is - the two challenges that obviously counterbalance that that growth performance, one is print. Print is declining, as you know, now for many, many years. The rate of decline actually got a bit worse in 2014. We are managing print for cash and profitability. Print - everything we create in print, right, we also create digitally, so and our customer still want print. So print is going to stay in the portfolio, so as long as our customers demand that and we will, as I say, manage it really for profitability. The other counterbalance is really pieces of our European business, again, what we’re doing there is and that is largely economically related. So what we’re doing in that case as we continue to sell off pieces and we had a number of disposals at the product line level across Europe. Second thing that we are doing is continuing to invest where we see growth. So, in fact, if you look overall with Europe for Wolters Kluwer, we actually have flat performance, which was an improvement over 2013. And that’s because we saw good growth at Tax & Accounting software at Financial & Compliance Services in Europe. We also saw good digital growth in legal. So our goal in the European portfolio is to continue to make the changes portfolio wise at those levels that we have been doing, but also continuing to invest in the growth areas and over time that will shift the balance of our growth footprint in Europe regardless of what happens with the general economic cycle.
Meg Geldens: We have a couple of questions from callers, if you can put those through.
Operator: Yes, Vighnesh Padiachy, please go ahead.
Vighnesh Padiachy: Good morning. I’ve got a couple of questions actually. The first is on the organic growth. You did €1.9 million in 2014, I understand that one-off benefits in Q4, but do you think you can do that sort of level again in 2015? What are the puts and takes? The second question is really relates to your last point on selling pieces of the Europe and adjusting things. To what extent do you think there’s scope for kind of further assets swap in areas like legal, and so on? Has much of that tidying up been done, or is there more to go far?
Nancy McKinstry: Okay, why don’t I take those? And in terms of the organic growth, as we indicated, we don’t give growth guidance, but what I can say, sorry. Yes, we don’t give growth guidance, but what I can say is that, we, of course, saw genuine improvement in the underlying trends of the business in 2014, so that will continue in 2015 particularly around digital and software. However, we also expect that Europe won’t show any major improvement in the general economic strengths, so we remain cautious about Europe. We also continued to expect that print will decline and that will act as a counterbalance to the good momentum that we did see in the business. On the portfolio changes, we are open to asset slots, they tend to be more difficult, frankly, than just traditional M&A, and we go through our portfolio every year and look at what assets we might want to dispose out. And so we have a number of things that we are doing in addition to looking at transport services.
Vighnesh Padiachy: Great. Thank you very much.
Operator: Chris Collett, please go ahead. Your line is open.
Chris Collett: Good morning. It’s Chris Collett from Deutsche Bank, just a couple of questions, please. First of all, Nancy, I just wonder if you could talk about some of the trends that you saw in corp sales and renewal rates as you came into the end of 2014? And then secondly, the added level of restructuring in the Legal & Regulatory Solutions business that you mentioned that you stepped up, does that really imply that you are seeing a, for some sort of permanent decline in that business, is that just purely around the economic conditions or something else has changed, although you saw changes as the year went on?
Nancy McKinstry: Okay. So just if you look at the underlying trends, I think, what’s key to look at is that, the digital growth rates, went from 4% in 2013, to 5% in 2014. So we are seeing a marked improvement in digital. That is reflective of a couple of things, it’s reflective of we have more digital offerings. It’s also reflective that more of our digital products are global, so we have many more opportunities to increase our penetration in various markets. Second trend is that, certainly transactional revenues or nonrecurring revenues had a nice lift particularly in the fourth quarter. So that has overall helped the underlying growth of the business. And then finally, while small improvements, one of the key things we look at is, of course, recurring revenues, right, because we’re largely a subscription model, and we are seeing recurring revenues increase over time. So that again gives us a comfort and gives us confidence that the - there is good momentum starting to happen in the business. On the restructuring, Kevin, do you want to take that one?
Kevin Entricken: Yes, as far as restructuring is concerned, we did decide to step that program up in the fourth quarter. As Nancy mentioned, we have seen the European results improved to a 2% decline in 2013, to flat performance in 2014. However, that was mostly driven by tax, health and financial and compliance services. Our Legal & Regulatory Solutions business in Europe, we did see some headwinds and that’s why we decided to step up the restructuring program in the fourth quarter. As we’ve also announced, we’ll do more restructuring, where we think it makes sense in 2015, and that will largely be in Legal & Regulatory Solutions in Europe.
Nancy McKinstry: So a question which was sort of is, do we think Europe is in permanent decline? And I would say, the answer is no. What we see is good trends in digital, right, and that’s where we are putting our money, for instance, in structural decline around the globe, so that will continue. I think one of the things that will change over time is print, so it represents about 46% of the Europe Legal & Regulatory Solutions group in Europe and North America combined. As that continues to shift to less and less print in that portfolio, that will also improve the underlying growth rate over time.
Chris Collett: Sorry, can I just ask again on that, I mean, the proportion of print within the European business hasn’t changed as the year went on. So what specifically, where those headwinds that you saw as you came into the second-half of the year?
Nancy McKinstry: Yes, I would say that the - what we saw was print did get a little bit worse, particularly around the books portfolio in Europe. We do a lot of fourth quarter sales of books, so that was one of the major trends that we saw in the business. Second thing is, we’ve really just as expected kind of a steady improvement in the underlying business in Europe and what we saw was that improvement in the first-half relative to 2013, but then we reversed that in the second-half. So got a little bit worse in third and fourth quarter, but again largely in the print part of the portfolio.
Chris Collett: Okay. Thank you.
Operator: And our next question is from Matthew Walker with Nomura. Please go ahead. Your line is open.
Matthew Walker: Hi, thank you. Good morning. First question on cash returns, I mean, if you look at your dividend progression, it goes up by about €0.01. The first question is, I know it’s progressive, but will it reflect, say, a large benefit coming in 2015 from FX? And could the payout ratio which is about 45% be higher given the - given where your leverage is which has come down to as we said 2.1. And a similar question for buybacks. We know you are investing 8% to 10% in organic CapEx, the buyback is about if you exclude the ex-dilution, it’s about 1% of the shares. So I’m just kind of wondering what made you be or not be more aggressive on both the dividend and the buybacks given where the free cash flow performance is and given where the leverage is?
Nancy McKinstry: So the second question, but we didn’t hear the first well enough to respond, so Kevin, I wonder you talk about the decision around the share buyback…
Kevin Entricken: Yes.
Nancy McKinstry: We’ll ask him to repeat the second - the first question.
Kevin Entricken: Sure. As mentioned earlier, when we look at the uses of our free cash flow, we try to strength the right balance between investments in the business, reducing debt, and rewarding our shareholders. So Nancy and I believe that we struck that balance, this allows us to reward the shareholders with a share buyback. It also allows us to continue to invest in the business. I will mention that if you consider the increase in the dividend plus the share buyback, we are returning about 60% of our free cash flow to investors this year and that still allows us to see opportunities to invest in growth businesses going forward. So we are comfortable with that, we have struck the right balance here.
Nancy McKinstry: Would you mind repeating your first question?
Matthew Walker: Yes, the first question was really similar one, which was more on the dividend progression, and it’s being going out by about €0.01 a year, is there any prospects of that size of increase improving? And I’m just kind of wondering why the - I’m just kind of wondering why the - given the leverage is coming down, why the dividend payment is not higher?
Kevin Entricken: I think the question that we’re having a little bit of trouble hearing on the line here, but I think the question is why not more than a 1% dividend? What I would point to is, we want our shareholders to be able to count on our progressive dividend policy. So over the longer-term, our investors or shareholders should know that at dividend, we’ll increase ever year, year-on-year, and we want to be consistent about that message going forward. So we are committed to that. As far as where our leverage is right now, we’re at 2.1 times net debt to EBITDA, that is below our target of 2.5 times. But as we’ve said, we will be deviate from that target from time-to-time based on the opportunities we see in the business. So where we are right now? I think that we struck that right now and so rewarding our shareholders and being able to seize opportunities of investing in the business going forward, because as Nancy said, there is a number of parts of our portfolio, we do think there is opportunity for growth.
Matthew Walker: Okay. Thank you.
Nancy McKinstry: Okay. If we shift to the room, yes. Hans?
Hans Slob: Yes. Hans Slob, Rabobank, two questions. One is on the trends you see in Legal & Regulatory Solutions in Europe, the geographical trends what you are currently seeing in Southern Europe. And maybe could you update us on Russia, because I remember you bought some assets there years ago, and what is the percentage of your sales in Russia for Legal & Regulatory division. And secondly, the question on the clinical tools business, are you planning - yes, what is the status with the launch new clinical tools? I know you have some very promising clinical tools in the pipeline and can we expect commercial launch? And also in the clinical tools what do you expect from the launch of UpToDate in China? And can that accelerate the growth of your clinical tools business?
Nancy McKinstry: Okay. So first, trends across Europe, very consistent with what we’ve said in prior years, which is that the South remains weaker than the North that has been the case. And again, that the other trend that we see of course is that where the weaknesses is really in the print part of the business. Digital is growing nicely across Europe, both digital, online and the software businesses. Russia is a relatively small business for us, we have a joint venture. We have revenues of approximately €40 million. We saw growth in Russia in 2014, but we remain obviously very cautious about the situation there and so we continue to watch that. On clinical tools, we have - always had a strong focus around innovation in clinical tools. The two things that we’ve talked about, one is UpToDate China, that launch is in the second-half of 2015, so our expectations for revenue in 2015 is relatively modest because we are right now in beta and it will take time, but certainly we expect that for 2016 and 2017 and beyond. That will generate an ongoing revenue stream for us. The other tool that we’ve spoken about is POC Advisor, which is - except this example that we’ve given in the past that is currently in beta. We will plan to launch that again latter half of this year and really even in the early part of 2016. So again, the revenue expectations for this year are quite modest but the expectation is once these things take hold they become much more substantial revenue streams. Yes.
Konrad Zomer: It’s Konrad Zomer, ABN AMRO. First question, on your divisional outlook, is there a particular reason why you refrain from making a margin comment for the Financial & Compliance Services division? I remember there was also no margin statement in your guidance for last year. And my second question on the restructuring costs, can you share with us whether you expect the €30 million to €35 million to be evenly split between the first-half and the second-half or will it be first-half weighted? And I seem to remember from your interim results 2014 that you expect the restructuring costs in Tax & Accounting to be, well, let’s say, one-off. And it seems to me although the majority of these new restructuring costs are in Legal & Regulatory, it still suggests that there might be additional costs in Tax & Accounting as well. Can you confirm that? And can you be more specific about what the actual restructurings will entail.
Nancy McKinstry: Okay. So - and Kevin you want to talk about the divisional outlook for Financial & Compliance Services?
Kevin Entricken: Yes, I would say, when we give you guidance we give it to you for the group as a whole and we typically do not give detailed guidance down at the divisional level. The guidance we’ve given you this year is an improvement in that overall margin from 21% to 21.5%. But for all of the businesses we’re looking at margin improvement opportunities. So we’ll continue to look for those things, but as far as guidance goes, we give it at the group level, not at division level.
Nancy McKinstry: Yes, and as you know, sometimes we’ll make a comment more to make sure that we steer people in the right direction at the divisional level, so the fact that we don’t mention margins in Financial & Compliance Services I wouldn’t read anything kind of into that, but really look at the overall Wolters’ core level. On Restructuring, Kevin, with phasing?
Kevin Entricken: Yes, we say the phasing, we will start those restructuring programs and you will see those restructuring programs begin in the first-half, as far as the first-half, second-half wait, it’s going to be dependent on how quickly we can progress with some of the programs and how quickly we can adapt in other areas. So at this stage of the game, I would say more of an even phasing, but obviously we will update you if we see any acceleration on that. As far as Tax & Accounting is concerned, yes, we did in fact do restructuring in 2014. We do not believe there will be any substantial restructuring in Tax & Accounting in 2015. We think we’ve done the things that we want to do there. As far as the nature of what we’re doing in the restructuring, a lot of it has to do with how we can improve on efficiencies, things like editorial and production processes, distribution processes. So that’s really where we’re focusing our restructuring efforts and how to get better at doing some of those things that we do.
Nancy McKinstry: And largely what that means is that we’re automating work and in some cases outsourcing work depending on what the nature of it is.
Konrad Zomer: Okay. If I can make just one follow up comment please, in your divisional outlook like last year, you do have the specific margin comments for the first three divisions, but not for Financial & Compliance Services. I understand you’ve given out a specific quantified outlook on the group level, but you do make some specific statements on margins, whether you expect them to go up or down or the three bigger divisions but not the Financial & Compliance Services. I was just wondering is it because of the transactional nature of the business. Is there any particular reason why, because I’m just curious?
Nancy McKinstry: Yes, I think, Meg, you want to…
Meg Geldens: We like to give you some work to do, so for that way. I mean, obviously, that division has less recurring proportions than the Health particularly, and Tax & Accounting. So it’s a little bit hard to predict part of transaction and but it give you some work to do.
Nancy McKinstry: It’s all for our smallest division, so that’s not going to - again, it’s less likely to move the overall for Wolters Kluwer. Okay. Sami, back to you.
Sami Kassab: Thank you, Nancy. I would like to go back to Claudio’s question and drill down on the following point please. Thinking your portfolio you have perhaps 5%, perhaps 10% of your revenues that come from products such as your medical and nursing textbooks, your legal textbooks, your French B2B magazines and these have been declining for several years, I struggle to understand why you stick and keep to those assets. And I think I struggle to understand because I don’t see the synergy that you have between a textbook sold to a 20-year-old student in nursing or legal law school, and a product like Kleos which you sell to lawyers or UpToDate which you sell to hospitals and librarians and the likes. So can you help me understand what synergies do you see and between a nursing textbooks and UpToDate?
Nancy McKinstry: Sure. Okay. So how the books in medical factor into it is that a couple of things, right, which is the medical and nursing text books that we produce in print, two things are going on, one is we distribute that book content on Ovid and Ovid’s been growing and the digital book content on Ovid is growing so we have that migration going on. Second thing is the book content, which is where the cost and the value to create things is in the content, right, whether it’s distributed in the book form or online, that doesn’t matter a whole lot in terms of the cost base. So the digital content for nursing text books and medical text books, it shows up on Ovid in digital form, it’s also getting reinvented in terms of digital products, so one of the things I know we talked about in the past is something called our nursing, Lippincott Nursing Procedures which is an online training product that is sold into institutions and is grown really nicely. A lot of the content in that product comes out of the text books. So there is a significant amount of reuse, even if you look at our order sets, which is a product we’ve talked about within the past in clinical solutions which are sold to hospitals. They leverage the nursing content and the five-minute consult content from Lippincott. So there is a tremendous amount of reuse of content across the portfolio coming from what’s inside the book.
Sami Kassab: Thank you.
Nancy McKinstry: Yes, please in the back.
Unidentified Analyst: Yes, thank you, Jim Mariasagav [ph] from Sintersignia [ph]. You mentioned your real estate consolidation as it was part of your driving efficiencies program. I was wondering if you could elaborate a bit on that please and also how that could possibly, potentially affect your balance sheet. And second question is on the currency exposure 2014 and also beginning of 2015, we’re quite volatile in terms of currency rates. I was wondering if you could elaborate a bit on your risk management policy for currency exposure and whether or not that would change given the last quarter of 2014 recent developments. Thank you.
Nancy McKinstry: Kevin, yes.
Kevin Entricken: Yes, on real estate consolidation we’re constantly looking at ways we can be more efficient in our footprint. An example this year is in our Philadelphia market. We had a number of different buildings that we were able to consolidate when leases expired. So those are the types of things that we’re looking at very actively around the portfolio and we’ll continue to do those sorts of thing. But obviously real estate is only a part of our costs base and we look at other areas as well. As far as our currency exposure, one thing I would like to remind you is that, our currency exposure is translational, not transactional, so we’re producing the products in the same geographies that we sell them for the most part then we do borrow predominately in euros. So we do use net investment hedges to mitigate the risk there and we’ll continue to do that. The currency exposure I think a rule of thumb also about though one point change in the U.S., euro rate, we’ll have an opposite one-time change on our adjusted EPS. We’ve also in the presentation on the last page of presentation giving you sort of a sensitivity analysis on what a movement of 1% in the currency ratio would mean. So I think that would be helpful as well to look at.
Meg Geldens: Yes, please.
Unidentified Analyst: Thank you. Three follow-up questions, if I may. One is on deferred income, which is up by €161 million year-on-year, which is more than twice your organic growth of 2014. So could you please develop a little bit on the reason for that and how good the indication is for building software and digital subscriptions? Second question is on tax, I observe that your competitor, Intuit, are having some mix pricing problems. I was wondering if it has an impact on your business or your clients business in the U.S.? And finally, have you noticed any improvement in business with publicly funded clients in legal or health? And more broadly, are you observing any easing in budgets for those types of clients, please?
Nancy McKinstry: Okay. Kevin, you want to start with deferred income?
Kevin Entricken: Yes. On the deferred income we did, in fact, see an improvement in our subscription rate businesses, but I’ll also remind you part of the improvement you are seeing on the balance sheet is related to the strengthening U.S. dollar, so you figure that out. But the underlying improvement in deferred income is a result of the good retention rates we are seeing.
Nancy McKinstry: And then on publicly funded institutions yet we have not seen any change in behavior meaning that, there is still topics in tough market in most cases, but not also deteriorating in anyway. So I would say pretty much status quo, both in Legal & Regulatory and in the Health, where we serve a lot of public institutions. On tax, I didn’t quite get your question on the tax, and so you could repeat that one?
Unidentified Analyst: Yes. There will be a change in pricing at one of your competitors in the U.S., Intuit, TurboTax, which is I think not exactly comparable to your product but I thought it could have an impact on the client base, the behavior of the client base in the U.S.?
Nancy McKinstry: Yes, we do as you rightfully point out TurboTax, which is owned by Intuit is very much consumer facing product. We serve only professionals, but do-it-yourself market has been growing, but it doesn’t impact us at all.
Unidentified Analyst: Okay.
Meg Geldens: Yes, please.
Sander van Oort: Sander van Oort from Kempen, a couple of question, if I may. First of all, on the working capital improvements, I think you surprised positively with generating another €4 million from operating working capital. Is there anything left or any further upside potential in 2015? Second question is on the adjusted financing cost for which you guide €100 million for 2015, I’m a bit surprised, because I think it was €49 million for the second-half of 2014. So given your ongoing deleveraging, I’m a bit surprised that you’re guiding for €100 million and maybe it should be a bit less, maybe I’m overlooking something? And thirdly, I can remember from previous presentations that product pruning always had a bit of a negative impact on organic sales growth, given the organic sales growth accelerations, is it fair to assume that the product pruning process has now come to an end, or is it something else? And fourthly, final question on innovations without going too much detail, can you may be share, what are the innovation pipeline for 2015, is it broader versus last year, a bit of an indication to what extent organic sales growth might accelerate going forward.
Nancy McKinstry: Yes. I’ll take the last two and then Kevin can talk about working capital and financing. The product pruning, we continue to prune products and I would say very much at the same kind of levels. The pruning takes two forms, it’s one, both on the book side of the business, we have been intentionally narrowing the front list in certainly in Legal & Regulatory. And the second is, we discontinue products when they reach the kind of very low subscriber levels. And that is an ongoing process that we take across the business. On innovation, the pipeline is growing. I think what’s important is not only is the pipeline growing, but we’re starting to reach higher penetration rate. So part of why I chose the three products to talk about in my presentation is that, those products are actually launched before previous to 2014. And it shows you that essentially the lifecycle of the products is it takes two to three years to build the product, and then it really takes two to three years to get to what I would call scale in the market. And so the good news is that for some of these products are now at that scale level. And so, not only are more things coming into the pipe, but we’re getting scale. And I think what’s changed about Wolters Kluwer from the past is that, most of what we are building now really are global products. So we are not confined to the individual market, and that that obviously gives us more potential. Kevin, you want to talk about working capital.
Kevin Entricken: Yes. Certainly, working capital was very strong in 2014 with a conversion ratio of about a 100%. I would usually expect the conversion ratio of about 95%. So that’s what I would guide you to going forward. In 2014, we’ve had very strong collection at the end of the year. And clearly, we manage our working capital very prudently, so I think that the better collections at year end drove that performance.
Nancy McKinstry: And financing costs?
Kevin Entricken: And financing costs, yes, we’re guiding you to the €100 million in financing costs based on the maturity profile we have today. And that is at constant currencies and that does not include the pension financing, and it wouldn’t include any kind of M&A gain or loss that we would have on an investment. So I would certainly guide you to the €100 million, where we believe that would be going forward.
Meg Geldens: A few questions from emailed in, if I can - some of them are partly covered, but Nick Dempsey from Barclays, was hoping you could give a bit more color on the strong performance of CLS in the fourth quarter and FS in the fourth quarter. How much of this is really one-off? And then secondly, he is wondering whether on restructuring the levels we’re talking about in 2015, will these reduce in 2016, or should we assume they were just baked in going forward and stay about the same going forward?
Nancy McKinstry: Okay. So on CLS, the fourth quarter was very strong largely due to transaction volumes. So that is something that we’ve indicated will moderate, if you look, we’ll have a tough comparable in the second-half of 2015. So clearly you need to take that into consideration. However, in addition to the strong transactional volume, we continue to see subscription growth, not only in the core of the business, which is the legal representation services, but very importantly in our enterprise legal management group, which is the combined time metrics and Datacert business, both of which are sold as a subscription and had very good growth. So I think CLS is well positioned for 2015. On FS, again, the fourth quarter very good organic growth, a lot of that was driven by these large financial institution contracts that we KRW. Again we’re indicating that there will be a more moderate pace of growth for that part of Financial & Compliance Services because, of course, both the timing of these contracts is hard to predict. And we now have won a number of them, and we won’t necessarily repeat that in the fourth quarter 2015. And then on restructuring?
Kevin Entricken: Restructuring. What I would like to make sure, I remind everybody is that restructuring is in our adjusted numbers, so we don’t include that, but we do want to give an indication of the programs that we’re running. The other comment that we did make is that in 2015, we would see the restructuring largely in the Legal & Regulatory European businesses, and that’s where we are still seeing a business that has an organic decline. So we’re doing restructuring programs to certainly help the bottom line, but also to offset wage inflation. As we start to see improvement in the growth profile of those businesses, you would see the restructuring coming down.
Nancy McKinstry: We’re done? Okay. Any other questions? Okay, great. Thank you all for joining us this morning, thank you on the phone as well. And please help yourself to refreshments outside.